Masahiro Hamada: I am Hamada, Group CFO of Sompo Holdings. Thank you for joining our earnings call despite your busy schedule. I will go through the first half results and the full year earnings forecast for FY '25 as well as the shareholder return, all of which we disclosed today. Please turn to Page 3 of the presentation. This is the executive summary. First, the overview of the FY '25 first half results. Driven primarily by a decrease in nat cat in Japan and globally, profitability improvement in domestic P&C business and strong net investment income overseas, adjusted consolidated profit increased by JPY 78.1 billion year-on-year to JPY 247.4 billion. Next, the full year FY '25 earnings forecast. Based on the first half results, adjusted consolidated profit for the full year is revised up by JPY 77 billion from the initial forecast to JPY 440 billion. Although direct comparisons are not possible due to our transition to IFRS accounting this fiscal year, we expect to significantly surpass our previous record high profit. Last but not least, shareholder returns. The total shareholder return for the first half of FY '25 is JPY 145.5 billion, including JPY 77 billion of share buybacks. For the full year, in addition to the upward revision of adjusted consolidated profit, the plan for the sale of strategic shareholdings has also been revised up from JPY 200 billion to JPY 250 billion. Therefore, the total shareholder return comprised of the basic return and gains on strategic share divestitures is expected to be approximately JPY 250 billion, JPY 26 billion higher compared to the initial forecast. I will elaborate on these 3 key points on the following pages. Please turn to Page 4. The JPY 78.1 billion year-on-year profit growth was driven by profit increase of JPY 54.7 billion in the domestic P&C business. Compared to last fiscal year with significant hail damage, we had fewer major nat cat in the first half of this year. Improvement in the base profitability of fire insurance, thanks to the rate revision implemented in October 2024 as well as strengthened underwriting also contributed to the profit growth. The profit also grew for the overseas business by JPY 20.7 billion. Similar to the domestic environment, fewer natural disasters and increased investment income driven by growth in assets under management contributed to this profit growth. On Page 5, let me explain the upward revision of FY '25 full year forecast. Full year adjusted consolidated profit for FY '25 has been revised up by JPY 77 billion to JPY 440 billion from the initial forecast. On a year-on-year basis, it is to be a significant profit increase by JPY 116.3 billion, renewing record high both on a consolidated basis and for all business segments. Based on first half results, second half forecast has been revisited with a certain level of conservatism. On Page 6, I'll explain shareholders' return. As to interim shareholder return for FY '25, dividend per share is JPY 75 as initially forecasted, totaling JPY 68.5 billion. Share buyback with basic return and sales gains on strategically held shares combined amounts to JPY 77 billion. Full year shareholder return forecast for FY '25 is expected to be JPY 250 billion, up JPY 26 billion against the initial forecast, driven by increase in adjusted profit and increased reduction of strategic shareholdings. Lastly, some supplementary explanation on domestic P&C and overseas insurance. Please look at Page 7. First, let me explain domestic fire insurance. Fire insurance, even without favorable nat cat experience, it's showing strong improvement driven by rate increases and enhanced underwriting. Loss ratio of fire insurance for FY '25 full year without nat cat impact is expected to improve to 32% by 4.3 points year-on-year and by 2.4 points against initial forecast. Impact from last year's rate revision and underwriting enhancement is expected to continue and the positive profit is becoming well established. Meanwhile, motor insurance excluding nat cat impact remains in a different situation. Given the first half results, the assumption for the second half had been revisited and reflected in forecast. As traffic volume increased, rate of accident frequency in the first half FY '25 was up 0.6% year-on-year against the initial forecast of down 1%. Accordingly, full year forecast has been revised up to the level of the first half results. Unit repair cost in first half FY '25 was up 7% year-on-year, mainly driven by price hike of auto and its parts due to higher performance as well as inflation. Accordingly, full year forecast has been revised up to the level of first results. In January, auto insurance rates will be revised up by 7.5% on average. This revision has factored in higher-than-expected rate of accident frequency and unit cost, meaning midterm, our outlook for profitability improvement remains intact. Lastly, supplementary comment on overseas business. Currently, rate environment is becoming softer, but insurance revenue increased in all segments, namely commercial reinsurance and consumer, driven by geographic expansion and other growth strategies. Combined ratio is expected to be on a favorable level with certain level of prudence included. With that, I end my presentation. Long-term management strategies, including progress on MTMP will be explained at the IR meeting scheduled on November 25. Thank you for listening.
Operator: So the first question is from Mr. Muraki of SMBC Nikko.
Masao Muraki: This is Muraki from SMBC Nikko. My first question is on Page 5. So you show the breakdown of the upward revision that you made. And on the right-hand side, you see the factors. Of these, what are not one-off? And what will still prevail as you plan for next fiscal year?
Unknown Executive: Thank you for the question, Mr. Muraki. So regarding your question around the factors driving the upward revision for this fiscal year, which will remain for next fiscal year? So first, with the domestic P&C business, compared to the initial plan, the upward revision was JPY 59 billion. As you can see on Page 5, lower natural catastrophe and larger loss experiences are going to be absent next fiscal year. So it will be adjusted to the normal year level. And for the higher investment gains at the outset of the year, we normally make conservative projections for the net investment income. So in that sense, most of this factor would also be taken out for next fiscal year. On the other hand, for the improved profitability for fire and casualty lines, as Mr. Hamada explained earlier, the improvement was driven by rate revisions and also stronger underwriting capabilities. So these positive factors would remain next fiscal year. And also, it is not indicated on the slide, but for the auto loss ratio, recently, it has been deteriorating. And compared to the initial plan, we expect the downward pressure to be JPY 3 billion on an after-tax basis. But as Mr. Hamada explained earlier, in January of 2026, we plan to execute rate revisions. And also with the following rate revisions, we aim to offset this negative impact. So the deteriorating loss on the auto policies will be absent next fiscal year. And moving on to the overseas insurance business. This fiscal year, we revised up the forecast by JPY 20 billion from the initial plan due to multiple factors. But most of this will not be remaining for next fiscal year. Specifically, this fiscal year, we are also benefiting from lower natural catastrophe overseas, and this will normalize for next fiscal year in our projection. On the other hand, the upside on the net investment income is stemming from the growth of the asset under management. So the positive impact on the investment side will remain. And for the insurance business, other than the nat cat risk, the change in the portfolio mix is impacting the profitability. And assuming that this portfolio mix will be similar to that of this year, this impact would also remain. So as a result, for the overseas business, the upside for this fiscal year will mostly be absent, and we expect to see growth without the one-off upside we saw this year.
Masao Muraki: My second question is in a follow-up to my first one. So regarding achieving the ROE target for next fiscal year, can you update me on the necessity of adjusting the capital? Looking at Page 16, you have 10 points impact by the sales of the stocks sold by Sompo Holdings. And I assume that you have sold a lot of the Palantir shares. ESR is going up, but the base profitability is improving, and you would also get profit contribution from Aspen. So should you be able to still achieve that 13% ROE target without the capital adjustment? Or do you need to make that adjustment?
Masahiro Hamada: Yes. Thank you for the question. So this is Hamada, and I will be responding to that question. On Page 19, we show the full year ROE target for FY '25, which is a first line on the table. Initially, we were expecting 10% ROE for the end of this fiscal year, but it has been revised up to 11.5%. But as we explained, there are many one-offs, primarily the nat cat impact. So when normalizing this, this 11.5% will be pushed down by a little over 1 percentage point. Also on a normalized level, the ROE for this fiscal year will be a little over 10%. And then we will have the Aspen impact and also improvement of the profitability. And with that, we can expect the ROE to be boosted by roughly 2%, but we will still be short of the 13% target. So beyond what I have explained, we are still considering this. So these are not fixed. But we have a few options. We can keep the current 13% target. And if it seems not doable, we may decide to adjust the denominator. Or as you said, this year, we have been actively selling our Palantir shares. And this is because the Palantir market cap increased significantly. And by selling our ownership, we saw some inflation of the denominator, which we were not expecting at the beginning of the year. So that has a negative impact of 1% on the ROE. So we can set the target for ROE, excluding this factor. So that will be a feasible option to consider. So leading up to the end of the fiscal year, we will discuss this matter in the management meeting. But having said all that, we cannot say that we do not need capital adjustment. We may need that or we may not need it. We cannot be too optimistic about the outlook. So we will continue to strive to build up both the denominator and the numerator.
Operator: Next question is from Tsujino-san of Bank of America Securities.
Natsumu Tsujino: So this time, you have revised the domestic business. As to fire insurance, profitability has been improved, while auto insurance is worsening. But fire has been performing well. So as Page 7 shows, well, this is the comparison with the previous year. On a full year basis, I don't expect that the comparison between first half basis, any case, the fire is getting better, auto is worsening. So I think that the similar trend that might be in the first half as well. My question is, to what extent auto has been worsened, maybe JPY 3.5 billion, as you mentioned earlier, and the improved profitability of fire insurance, that would have some impact in the next fiscal year. And in addition, auto insurance is going to be better -- should be better next year. Could you please give some color on that?
Unknown Executive: Tsujino-san, thank you for the questions. First, about auto insurance, as you have pointed out correctly, increases in unit repair cost or in rate of accident frequency, some elements are behind the initial forecast. For the first half of the year compared to the previous year actuals, auto insurance losses have been aggravated by about JPY 2 billion after-tax basis. Given such situation on a full year basis, the worsening of about JPY 3 billion against initial forecast is expected. Meanwhile, as to auto insurance, in January next year, we are going to revise the rates and the rate increases will have full year impact for FY 2026. So while factoring in the shortfall against the initial forecast, we would like to make good catch-up so that we are going to achieve the earnings level expected for auto insurance in FY '26. With respect to fire insurance, its base profitability has been improving at every maturity. As a result of rate increases and other underwriting enhancement measures, we have been accumulating those efforts, and we are seeing good results this year. As you know, fire policy periods range from 1 year to 5 years. At every maturity, we will continue to improve our profitability. And we would like to make it sure that we are going to see good impact next year and beyond.
Natsumu Tsujino: So my next question is, you have revised down the large losses. But without it, to what extent the business -- fire business has been improved. Large losses this time for this fiscal year, on a pretax basis, we assumed JPY 30 billion at the beginning of the year. Given the results of the first half, we changed it to JPY 26 billion. So after-tax basis, it's about JPY 3 billion add-on on the results. But as to this add-on, for example, as Page 5 shows, it will be included in the very first one, nat cat and large losses experience. And other than that, we have other elements such as the fire insurance, casualty, improved profitability and that impact will be felt next fiscal year.
Operator: So next is Mr. Watanabe from Daiwa Securities.
Kazuki Watanabe: Yes. This is Watanabe from Daiwa Securities. I have 2 questions. My first question is your thoughts about the sales of the Palantir stocks. Hamada-san, you have always said that you would like to use the proceeds of the Palantir share sales for M&A. So have you sold the Palantir shares this time to fund for the Aspen M&A? Or is it because the share price has gone up and the risk has also gone up? So that's why you decided to sell your stake in Palantir?
Masahiro Hamada: Yes. Thank you for that question. My answer will be both. The share price has been rising significantly. And we are managing the exposure by setting an upper limit vis-a-vis our net asset value, and we have the opportunity. So we thought this was a golden opportunity. And we sold roughly 50% of what we owned.
Kazuki Watanabe: I see. My second question is regarding dividend policy. In the Aspen M&A conference, you mentioned that the level of DPS may go up. But this time, you have not changed the dividend outlook. So if we were to raise the DPS, is it going to be happening from next fiscal year?
Masahiro Hamada: Yes, like you said, we have not yet closed the Aspen deal, and we don't know the timing for that exactly. And we expect the profit contribution to be happening mainly from FY '26. So that's when we would like to raise the EPS. But other than that, we did revise up our outlook. So we discussed about the dividend. And basically, as we have been explaining, we basically do not want to lower the dividend and would like to raise it, reflecting our fundamental earnings capability. But this time, the upside mainly came from more moderate nat cat. So we decided not to change the dividend, and we would like to consider hiking the dividend next fiscal year.
Operator: Next question is from Sato-san of JPMorgan Securities.
Kazuki Watanabe: My first question is about Palantir and its size. So according to earnings report and looking at consolidated statement of changes in equity, I understand that you have transferred JPY 250 billion from investment in equity instruments to retained earnings. And you have about after-tax sales gains of JPY 90 billion from the selling of strategically held shares. That means about JPY 150 billion, the post-tax capital gains by selling Palantir shares. And earlier, you talked about the possibility of reusing those gains for Aspen. And as you explained at the time of the Aspen acquisition, there was some -- the investment profit loss in the funding, and you assumed about JPY 15 billion. Is there any expectation that this -- the loss can be alleviated or be less?
Unknown Executive: Thank you for the question. And I cannot talk about details about any individual shares, but it seems that you have read correctly. And you're right about the first -- second half of your comments. When we were considering to acquire Aspen, of course, we did not think about how much we should use the capital gains from Palantir shares for the acquisition and so on. So we just set the rough percentage of the acquisition amount. And so based on that, I would say that the investment profit loss actually will be less than expected.
Kazuki Watanabe: My second question is about domestic fire insurance and its improved profitability, especially when you look at expense ratio, in your plan, you originally assumed about 30% for fire insurance, if I remember correctly. But now I think it has been reduced, looking at Page 28. So original 30% expense ratio is now at 28.3%. And on an absolute amount basis, it has come down to some extent. So what kind of initiatives are involved there?
Unknown Executive: Sato-san, thank you for the question. The expense ratio of fire insurance, well, initially, at the beginning of the year, we assumed about agent commission, and we were rather on the conservative side in assuming the commission level. But given the actuals, given the current status, what things are in a very favorable status and we have made revision.
Kazuki Watanabe: I think it was part of your strategy to revisit the relationship with your agents. It's not that it is behind this revision. It's not emerging yet in this fiscal year. Am I right? Well, in that sense, I would say that the agent commission included, we are now working on the overall relationship with agents. And part of it is included in here as well.
Operator: Next, Mr. Takemura from Morgan Stanley MUFG.
Atsuro Takemura: Yes. This is Takemura from Morgan Stanley MUFG. I have one question, which is about how you think about ESR. So I am looking at Page 16 on the presentation. And you have indicated the impact of the Aspen deal, which is pushing down the ESR by roughly 30 percentage points, and you stand at 250.6%. So without the Aspen deal, it would have stood at 280% approximately. And moving on to the next slide on Page 17, you show that you have JPY 5 trillion of adjusted capital and risk amount of JPY 1.7 trillion. So the simple math keeps me 294%. And there's a difference of roughly 14 percentage points. So other than the Aspen deal, are there any factors that will be impacting the ESR?
Unknown Executive: Yes. Thank you, Mr. Takemura. So regarding how we think about ESR, as we indicate on Page 17, and as you pointed out, we showed the adjusted capital and the risk amount. But this is a rough calculation, and we round down the numbers. So there is some gap between the simple calculation and the actual ESR, and that is the primary reason for that deviation.
Atsuro Takemura: Also, you have sold some of the shares in Palantir. And even with that, the ESR will be in excess of 250%. In managing ESR, I'm sure that you are looking inorganic opportunities, including the one for the domestic well-being business. So a certain level of excess over 250% is going to be something that you will tolerate. So should we expect the ESR to be in excess of 250% to a certain extent?
Masahiro Hamada: Yes, this is Hamada speaking. As we set the upper limit, we recognize that our ESR is in excess of that upper limit. And the reason we set the upper limit is because we want to achieve and manage the ROE. So we look at how is the ROE level and also how we strike balance between investment and shareholder return. So with that in mind, we deal with the capital that is in excess of the upper limit.
Operator: Next question is from Sakamaki-san of Mizuho Securities.
Naruhiko Sakamaki: Here is Sakamaki, Mizuho Securities. I have 2 questions, one for domestic business, another for overseas business. Starting with domestic business. I'd like to ask about combined ratio of auto insurance. Like fire insurance, expenses are lower than your initial forecast. Initially, you also assumed increase in systems investment expenses. So rate revision, agent commission and systems investment, all included. Could you please talk about profitability of auto insurance business? And if there's any time lag of booking for systems investment, could you please talk about that, too? That's my first question.
Unknown Executive: Sakamaki-san, thank you for the question. As to expense ratio of auto insurance, here, the factors involved are more or less the same as factors for fire, namely the agent commission ratio, the contribution is significant there. And as to systems investment and other nonpersonnel costs and any potential time lag, well, things are moving on in line with the plan and the size or the amount involved remains unchanged from the initial forecast.
Naruhiko Sakamaki: My second question is about overseas business. I would like to know more about the actual real performance. As to combined ratio assumption without discount, initially, it stood at 95%. It is now 94.9%. So the difference is only 0.1%. But the nat cat, the impact was revised down by $200 million. So maybe there are other factors which were actually worse than initial factors?
Unknown Executive: So combined ratio without the discount, as we touched upon earlier, this fiscal year, the rate level and the contract terms, we are looking at those elements, and we are making a shift in our portfolio mix to casualty line. As to casualty line, for example, compared to property line, volatility is very low, while the expected loss ratio is a bit high. As a result, when combined ratio without the discount impact is in line with the initial forecast. The major reason there is the changes in the portfolio mix. So going forward, base loss ratio might go up, but the volatility will be less going forward. So compared to initial forecast, more changes in the portfolio mix.
Operator: Sakamaki. So next, Mr. Sasaki from Nomura Securities.
Futoshi Sasaki: Yes. This is Sasaki from Nomura Securities. I would like to ask 2 questions. First, on the improvement of the profitability for the domestic fire business. Is the magnitude of the profitability improvement going to get larger next year? My second question is regarding Page 56 of the presentation deck. You mentioned that for the overseas insurance business, the combined ratio compared to what you presented from the FY '24 results, the combined ratio projection seems to have been raised. Is it because the business is deteriorating from the original plan? Or is it because of the change of the portfolio mix that you explained earlier? Or is it both? And also, generally speaking, listening to the global insurance companies, they talk about the impact of the softening market. So looking at the Q3 and beyond and also for next fiscal year, what is your outlook for the overseas underwriting profit?
Unknown Executive: Yes. Mr. Sasaki, thank you for those questions. First, regarding the improvement on the profitability of the domestic fire business, and is it going to be sustainable? As we explained earlier, as the policies are rolled over, we will see improvement in the profitability. So basically, this benefit will continue to be observed next fiscal year. But of course, the policies needing such improvement within our total portfolio will get smaller in terms of the proportion. So in that sense, if we look at the improvement year-over-year, the magnitude would be more moderate. And regarding your second question on the overseas combined ratio, like you mentioned, this is mainly because of -- due to the change in the portfolio mix and the impact is bigger than initially expected.
Futoshi Sasaki: I have a follow-up question. So now looking at the same risk base or risk amount, do you see any lines of business where you see a big downward pressure on the rate? Or do you not have much visibility?
Unknown Executive: Your question is around the overseas premium rate. Is that correct?
Futoshi Sasaki: Yes, that is correct.
Unknown Executive: Yes, I will take that question. It varies quite significantly depending on the line of businesses. As you know, for the property policies, we see softening of the market. On the other hand, for the casualty products, especially for the excess layer products, we continue to see relatively high rate. Also, we still see some hardening of the market. Also, we will underwrite in a selective manner to build a profitable portfolio. So that is what we have been explaining as a change in the product mix.
Operator: Next question is from Majima-san, Tokai Tokyo Intelligence Lab.
Tatsuo Majima: I also want to ask about fire insurance. So-called 2025 problem has arrived. It used to be like 30-year maturity, now more and more policies renew every 10 years or so. So from September '25 through September '26, during that 1 year, I think there will be more renewals than normal level. But that impact has not been factored in yet? That's my first question. The second question is about fire insurance premium. It seems that the premium is increasing faster from the first quarter to the second quarter this year. Is it because of some large policies? Or is it the phenomenon observed every year from first quarter to second quarter pace up in increase in premium?
Unknown Executive: Majima-san, thank you for the question. As to your first question, fire insurance loss ratio and the impact of massive renewals coming up, if it is factored in or not. As to fire insurance loss ratio, as you know, denominator is insurance revenue or earned premium. And so -- as to massive renewals, basically, on a written basis, the renewals are expected to increase during this 1 year that you mentioned, but it would not give big impact on base loss ratio. As to your second question, fire insurance and its premium, you said that maybe there's some acceleration of the pace in the second quarter. Well, that is actually a phenomenon, which is unique for IFRS. In the first quarter, the insurance, the revenue was booked on the smaller side than the larger side. And in July to September period, usually partly because of nat cat, the fire insurance losses tend to be larger. So in the second quarter at IFRS because of this seasonality, insurance revenue tends to be booked larger. So it's not that there's some special factor or some unexpected against the plan happened. [Statements in English on this transcript were spoken by an interpreter present on the live call.]